Operator: Please standby, we are about to begin. Welcome to MasTec's third quarter 2009 earnings conference call initially broadcast on October 29, 2009. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Thank you, Tony. Good morning, everyone, and welcome to MasTec's Q3 conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release or in the Investor Relations section of our website located at mastec.com. With us today, we have Jose Mas, our President and Chief Executive Officer, and Bob Campbell, Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose followed by a financial review from Bob. These discussions will be followed by a Q&A period and we expect the call to last approximately 45 minutes. Jose?
Jose Mas: Thank you, Mark. Good morning, and welcome to MasTec third quarter call. Today, I will be reviewing our financial results for the third quarter as well as providing and outlook for different end markets. First, some third quarter highlights. Revenue for the quarter was $397 million. Net income was $21.6 million or $0.27 per share. EBITDA was $38.7 million for the quarter. Gross profit margins improved both year-over-year and sequentially and cash flows from operating activities were $32 million for the quarter. Based on the current economic conditions, and the level of activity in our markets, we believe we had an excellent quarter. While 2009 has been and continues to be a challenging year, we believe we are uniquely positioned as a company to take advantage of significant growth opportunities in a number of our businesses. While we continue to see softness in 2009, we are very encouraged at what we're seeing entering 2010. For example, our renewable business has had significant wins in the quarter and we are now entering 2010 with more backlog than we actually completed in 2009. The solar, biomass, and geothermal industries are all seeing increased activity and we believe the initiatives the government has taken will have an impact on those industries in mid-to late 2010. Bidding activity in the electric transmission and natural gas markets has increased and visibility is improving. Our wireless customers are increasing their investments and are rapidly moving to upgrade and improve their networks. As we stated last quarter, at no point in the company's history have we ever had the magnitude and diversity of business opportunities that we are seeing today. As we look at the balance of 2009, we will continue to closely manage the business and make the right staffing decisions. While we have right sized a number of our businesses to reflect their current revenue levels, there is no question we are underutilized and preparing for growth in a number of our businesses. In spite of that, we have been able to grow gross margins. We believe that our diversification efforts over the last couple of years and the new businesses we have entered uniquely positioned MasTec as a beneficiary of many of the changing trends in the markets we serve. I would now like to cover some industry specifics. Within our communications group, DirecTV accounted for approximately $123 million of revenue, a year-over-year and sequential increase, but a softer number than we expected. We believe DirecTV has performed extremely well in light of economic and housing issues and we expect that improvement in the housing market will have a favorable market on our business. The wireline market can be split into two categories, maintenance and fiber related. The maintenance business continues to struggle but we believe we have seen bottom. There are pockets of improvement but we expect those improvements to be moderate and expect the business to be flat for the perceivable future. The fiber related business also had significant challenges in 2009 as many of our largest customers have been shifting CapEx dollars to their wireless businesses. However we are hopeful that between the federal broadband stimulus initiative and expansion of fiber to this cell sites, activity will increase on that portion of the business in 2010. We expect announcement of the broadband stimulus winners by the end of the year. The wireless market continues to ramp and perform well. Business was up sequentially by over 30% in the third quarter and we expect the business to be up again in the fourth quarter by over 20%. Wireless data consumption is dramatically increasing forcing carriers to invest in their infrastructure to meet demand. We expect accelerated demand in 2010 and believe we are well positioned in this market for future growth opportunities. In our utilities market, distribution spending is similar to wireline spending. 2009 has been a challenging year with reduced levels but we expect current levels to hold or show slight improvement. The government recently announced some significant awards related to smart grid applications. We're currently working with our clients to identify opportunities for MasTec. In both the electrical transmission and natural gas markets, we continue investing in building those businesses and believe we have positioned ourselves nicely. We continue to see increased levels of activity and visibility is improving. The industrial market performed well. Our 100 MW combined heat power plant project continues to progress and we feel that this is an important project as we build up our investment portfolio. We're also seeing a strong pipeline of projects in the biomass, geothermal and solar fields. Moving to our renewables business, 2009 has been a challenging year. It has been a year where we have focused on positioned the company for the future and getting ready for what we believe to be a spike in demand. We're beginning to see the fruits of our labor. During the quarter, we have been awarded over 600 MW of new projects. To put that number in perspective, Wanzek, our renewable construction arm completed approximately 1,000 MW in 2008, the year we bought them. Our recent wins puts back backlog going into 2010 at 640 MW. We also expect award activity to remain strong. We are actively bidding or negotiating a similar amount of projects and expect 2010 to be an excellent year for our renewable business. We also expect legislative efforts to have an incremental impact on the business. As the healthcare debate comes to an end, we expect the focus to shift to the energy bill. We believe the issues addressed will include transmission line construction as well as a national renewable portfolio standard, both could be potentially very positive for the renewable business. Other initiatives include the grant process and the loan guaranty program. While grants to date have focused mostly on completed projects, we expect future grants to have more meaningful impact to the business. Also, the loan guaranty applications came out on October 7. Applications will be comprised of a two-step process. Once companies go through the eligibility phase, they will be allowed to make a full application. Applications will be accepted starting in November and a key component of eligibility is that construction must commence before September 30 of 2011 to qualify. In summary, we are pleased with our results. More importantly we believe we are extremely well positioned in what we think are the right markets at the right time. I will now turn the call over to our CFO Bob Campbell. Bob?
Bob Campbell: Thank you, José, and good morning. I'm going to cover four areas today, Q3 financials, year-to-date financials, earnings guidance and our liquidity and capital structure. I will mention a few highlights first and then I'll drill down into the details. For Q3, my highlights are, Q3 revenue of $397 million was flat with last year's Q3. Q3 EBITDA of $39 million increased $3 million over last year. EBITDA margin for the quarter improved from 9.1% last year up to 9.7% this year. Gross margin continues to improve, it was 15.6% for Q3 versus 15.0% last year. G&A as a percentage of revenue was flat with last year's third quarter at 6%, that is pretty good with flat revenue and excess capacity. EPS of $0.27 was down from $0.35 in Q3 last year. The decline in EPS was caused by increases in depreciation and amortization, interest expense, and also a higher share count. These items reflect the cost of adding major capabilities in new growth markets while we go through a soft market and have excess capacity. And also we are incurring the cost of parking excess cash on the balance sheet. Quarterly cash flow from operations was $32 million, an increase of 3 million versus last year. My year-to-date highlights are EBITDA for nine months was $103 million, a 32% increase over last year. Cash flow from operations doubled over last year from 43 million last year up to $86 million this year. Regarding earnings guidance, we are raising it from $0.85 up to $0.88. Regarding our capital structure and liquidity, you should note the following. Cash has doubled since last year up to $95 million at 9/30 compared to 45 million at Q3 last year. Liquidity measured by cash and availability on our bank line was up to $183 million at 9/30, up substantially from 108 million at 9/30 last year. And finally our capital structure, our liquidity, and our key financial ratios are all in good shape today. Now for the details. Q3 revenue was flat year-over-year, $397 million, increases and installed at the home and wireless were partially offset by weakness in most of our other markets. And also in Q3, we saw continued stimulus related delays in alternative energy project spending, although as José mentioned, we are now starting to see positive movement. Gross profit margins improved from 15.0% last year up to 15.6% this year. The improvement reflects continued productivity gains and lower fuel costs. Depreciation and amortization expense of $10.8 million was up $3 million for the quarter, reflecting primarily the growth in fixed assets, but another driver was a million dollar increase in amortization expense for acquisition related intangible assets. For Q3, G&A expense was flat with last year at 6% of revenue, with flat revenue and excess capacity, we were very pleased to be flat. Net interest expense for Q3 was $5.8 million compared to $4 million last year, and that was due to higher debt and lower interest income. I will talk about our capital structure a little later. Q3 tax expense was lower than we had anticipated and was only $500,000 for the quarter. The reduction was a result of further refinement of our NOLs. I will talk about our future book tax rate accruals in a moment. As I mentioned earlier, EBITDA was up $3 million while EPS was down. The drop in EPS is due to higher depreciation and amortization expense, higher interest expense, and higher share count. In a nutshell, we're paying a short-term P&L price for our expansion into alternative energy and industrial construction via our Wanzek acquisition. That is why we go through a period of excess capacity and underutilization. And a lesser factor is parking excess cash from our convertible note offering on the balance sheet. Note that I said we are paying a short-term P&L price for the Wanzek acquisition. For the record, we believe Wanzek is a terrific acquisition and we're thrilled to have the opportunities we see in alternative energy and industrial construction. For the third quarter of 2009, the 10 largest customers were DirecTV was 31% of total revenue; AT&T was 19% of revenue, up from 15% last year. The growth is coming from our relatively new wireless business. Verizon was 5% of revenue. FP&L, Duke Energy, and Great River Energy were each at 4%. We are doing a combined heat and power plant for Great River Energy in North Dakota. Iberdrola was 3% of revenue. Mortensen, Dominion, Virginia Power, and Progress Energy were each at 2% of revenue. Regarding diversification, our top 10 customers now include one satellite television customer, two telecom customers, four wind farm customers, and three traditional electrical utility customers. Today backlog is about $1.8 billion and that is an 18 month backlog number. The comparable number for Q3 a year ago was about $1.4 billion and it was about $1.7 billion last quarter. Remember that since about 60% of our revenues comes from master service agreements or other contracts for continuing services, our backlog includes an estimate of the next 18 months revenue from those contracts. As I mentioned, about 60% of MasTec Q3 revenues came from what we call master service agreements or other similar contracts for recurring services. Therefore, unlike many other construction companies, we have a large base of contractual non project generally recurring revenue. These master service agreements are generally for 3 to 5 years and generally are exclusive for a stated geographical territory. None of them have revenue guarantees, but the revenue is reasonably predictable. Having said all that, as José said, MSA maintenance work for both electrical utilities and telecom wireline customers is still very soft as a number of customers are trying to spend minimal dollars on maintenance. Now let me talk about our cash flow and our balance sheet through quarter end. Third-quarter net cash provided by operating activities was about $32 million compared to 29 million last year. And year-to-date net cash provided by operating activities doubled to $86 million compared to 43 million a year ago. The improved cash flow from operations primarily comes from higher EBITDA and a reduction in accounts receivable. Our cash flow continues to be helped by large tax NOLs. First let me cover how the NOLs impact our cash taxes and then I will cover our book tax accruals which would be dramatically higher than actual cash taxes. Currently we have a federal tax net operating loss or NOL of $168 million which we can carry forward against our future cash tax liabilities. Because of our NOLs, we expect to pay only minimal cash taxes for 2009 and 2010. Based on our current internal projections, we will now likely exhaust our NOLs sometime in 2011. So we would expect to pay some cash taxes on our earnings for 2011 but less than would normally be paid. And then by 2012, we expect to be a normal cash taxpayer. Our tax positions really helps our cash flows for 2009 and 2010 and 2011. As I mentioned, our book tax accrual rates will be much higher than our actual cash taxes. In recent years and through Q3, we have had negligible tax rates for financial statement purposes. However, we've just about run out of unrecognized tax benefits for book purposes and therefore our financial statement tax rate for Q4 will approach 40% and then for 2010 and beyond we estimate that our book tax rate will be between 40% and 41%. But as I mentioned, our financial statement tax rate will basically be non-cash until sometime in 2011. I hope I have been clear about cash taxes and financial statement tax rates. If you're unclear on this rather complex topic, give me a call later, and I'll walk you through this again. At quarter end, our accounts receivable days sales outstanding or DSOs were 64 days, up one-day from last quarter, but flat with Q3 last year. Given our current business mix, our goal is to reduce DSOs to 60 days or better. 4 days doesn't seem like much, but 60 day DSO's is a real stretch go given today's economy. Every day of DSO is worth over $4 million in cash. Regarding capital spending, we have only spent about $16 million year-to-date, significantly lower than initially expected due to the slower ramp up of business in 2009 and conservatism in our original estimates. We are now estimating CapEx to be in the low 20s for the full year. If you'll remember, we originally estimated 2009 CapEx in the 40s which shows that we do have some visibility to flex down in soft markets. We spent $35 million on CapEx in 2008. We do however expect increased CapEx spending for 2010 and beyond. We are now much larger in size and our wind farm and our natural gas pipeline businesses are more capital intensive than the historical core MasTec businesses. We will share a 2010 CapEx estimate with you when we gave 2010 earnings guidance. To summarize our cash flow characteristics, I would say this. EBITDA is going up nicely. DSOs are reasonable and steady. CapEx in the low 20s is modest, and our tax payment should be immaterial through 2010, and then only partial for 2011. Therefore our cash flow should be very good. And as I mentioned earlier, our cash balances has doubled since Q3 of last year; at 9/30 we had $95 million in cash. At the end of the quarter, we had good liquidity with cash and availability under the companies credit facility totaling $183 million compared to 108 million a year ago. Now let me talk for a moment about our capital structure. As a quick capital structure summary, at quarter end we had $504 million in equity, $310 million of total debt, only 214 million in net debt, that is net of cash, and we expect to have 145 to $150 million of 2009 EBITDA. Therefore all of our balance sheet and credit ratios are in very good shape. I would like to note two things about our capital structure. First, we have no significant debt maturities until 2013, 2014 and 2017. And second, all of our debt has attractive interest rates. To give you a little more detail, our bank line matures in 2013, but of course we intend to roll it over then. The convertible notes mature in 2014, and our senior notes mature in 2017. And as I mentioned, our debt is very attractively priced. We currently paid LIBOR plus 2.25 on our bank revolver, only 4% on our convertible notes, and 7 and 5/8% on our senior notes. When I step back and look at the transformation at MasTec over the last couple of years, here is what I see. We have been able to expand into a number of new markets with excellent growth potential, dramatically reduce our DirecTV concentration, improve our operating cash flows, while maintaining good liquidity and a solid capital structure. Now let me cover some details about our guidance. Our 2009 earnings guidance is revenue of about $1,550,000,000 and fully diluted EPS should be in the $0.88 range. We have adjusted our revenue estimates downwards to reflect Q3 actuals and our current Q4 outlook. Q4 should be about 425 million in revenue and about $0.20 of fully diluted EPS. I would also like to make a couple of comments about the profit margins implicit in our 2009 guidance and about our profit margins trends. First, let me talk about pretax profit margins which we think is a good measurement for us since we do not pay any significant amount of cash taxes. Our pretax profit margins have grown from about 4.4% for 2007 to 4.9% for 2008 and the margin in our 2009 guidance is 5.1%. And note that the 2009 pretax margin is burdened with about $10 million of non-cash amortization of acquisition intangibles. Our EBITDA margins have run from 7% in 2007 to 8% in 2008 and the EBITDA margins implicit in our 2009 guidance is about 9.4% to 9.7%. As a reminder, our short to medium-term pretax profit margin goal is 6% to 8% and our EBITDA goal is to hit double digits. We continue to believe that our goals are very attainable, although it is obviously difficult to hit them in the soft economy. The company's guidance assumes continuation of today's pretty awkward [ph] economy and is not dependent on the recovery. The guidance assumes that there will not be any significant stimulus impact on our markets for 2009. Our guidance also does not include any P&L impact from legacy litigation or our auction rate securities. These items are excluded either positive or negative. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: The question-and-answer session will be conducted electronically. (Operator instructions). We will pause for just a moment to give everyone the opportunity to signal for questions. Our first question comes from Michael Novak with Frontier Capital. Your line is open.
Michael Novak – Frontier Capital: Good morning.
Jose Mas: Good morning Michael.
Michael Novak – Frontier Capital: Two questions. The first is you mentioned the excess capacity that you're keeping on board looking to 2010, can you give us a sense of how much that is impacting operating income today?
Jose Mas: You know we can't Michael. It is a difficult number to obviously compute because it is not just the cost that you are incurring today but obviously the loss of profits on the work that could be performing if they would be busy. So we kind of think that we're looking at 50 basis points to 100 basis points of margin based on what we would say is underutilization today.
Michael Novak – Frontier Capital: And then the second question I had is on the renewable side. I think you said your current backlog for wind is 640 MW and that compared to the 1000 that Wanzek did in 2008, how much does it look like Wanzek's going to do this year?
Jose Mas: So just to be clear on the 640, 640 is what we will be taking into 2010. It is currently a little bit higher number and some of it will be completed throughout the balance of 2009. So at this point most of the work that we have been awarded over the course of the last couple of months is really you know work that's going to hit in 2010, so we're kind of counting it that way. We're going to end up doing less than 640 MW for all of 2009, the number is probably somewhere between 500 MW to 600 MW.
Michael Novak – Frontier Capital: Okay. And what – I missed this but I think you said the additional amount of megawatts projects that you are bidding on today?
Jose Mas: You know we are seeing that level of activity in bids and negotiations right now which is extremely active because we are going to see projects throughout all of 2010 we believe. So we think that obviously the number could grow substantially over the course of the next quarter or two and we are very excited about that.
Michael Novak – Frontier Capital: Okay, thank you.
Jose Mas: Thank you Michael.
Operator: Our next question comes from Alex Rygiel with FBR Capital Markets.
Alex Rygiel – FBR Capital Markets: Thank you. Good morning gentlemen.
Jose Mas: Good morning Alex.
Alex Rygiel – FBR Capital Markets: Pretty good quarter in a tough economy, so I want to congratulate you on that. But clearly the highlight appears to be the backlog that is building in you wind business which correlates with your positive commentary about the outlook in that space. So it sounds pretty exciting. Can you put a little bit more color on the recent wins in the quarter, maybe talk a little bit about the top customers or the top projects that you're going to be working on and put this in context with regards to your expectation for projects start dates and completion dates?
Jose Mas: So one of the – you know one of the things that we debated going into this call and one of the challenges for us is we are in a very active bidding cycle as we speak with a number of these customers and we want to be very careful that we don't say a lot about the customers or the projects or the dollars associated with the projects because we don't want to give away too much competitive information. But what I can say is it is obviously a fantastic quarter and I think we have even been surprised by the number of wins in the short amount of period and more importantly about what we're currently seeing today and what the outlook continues to look like. You know historically in the past we have kind of given numbers of $300,000 to $400,000 a megawatt for the type of work that we have performed. I think those are ballpark numbers that you can pretty much use at this point. Some of the work will actually begin very late in the fourth quarter. It won't be meaningful from a revenue perspective but it obviously gets us working and really gets us off to a good start in Q1. So all of the work will start between December and the March April timeframe for the projects that we announced today. So again we're pretty excited, we think a couple others would fall in between now and the end of the year. So we expect to be fairly active the first half of next year.
Alex Rygiel – FBR Capital Markets: And could you comment on whether or not any of the projects are correlated with directly with any customers that were successful winners of grant money that came out about a month ago?
Jose Mas: Sure. So the interesting thing about the grants, especially the first couple grant awards were actually for projects that were completed very early in 2009 which obviously didn't do a lot for stimulating activity on those projects but it did obviously generate a lot of cash for those companies to then invest in new projects. So some of the customers that were awarded contracts with during the quarter did receive some of that grant money. More importantly though and we kind of mentioned it on the call, we think that future grant money is going to have more of an impact on activity and obviously we think that the loan guarantee and we talked about it a couple of times now we think that is really a very important piece of what the stimulus package did. We originally expected the language in the applications to be out in July, they came out on October 7. The process has been defined, the first applications will formally go in November and we think some of those will get turned around relatively quickly. We have not seen any activity related to that today but we do think that is going to really impact (inaudible) activity as we start thinking about them middle or the late part of the year.
Alex Rygiel – FBR Capital Markets: And lastly could you give us some color on how your Spearwood [ph] project is progressing and maybe a little bit more color on future opportunities on the industrial market?
Jose Mas: So the Spearwood project is performing very well. We are on or slightly ahead of schedule and again that is a very important project, not just because of that specific project, but what it does for us you know in really our resume building of power plant construction. And I think as we look into 2010 and beyond, we have been spending a lot of money hiring the right talent and increasing the talent level and adding people into that business. We believe that there is some solid opportunities for us with similar type projects that Spearwood and more importantly really taking those skill levels and transforming them into biomass and solar and geothermal and we are seeing a lot of activity around all of those today. So you know we are hopeful that as the next couple of quarters roll around, we will have some positive news about some of that.
Alex Rygiel – FBR Capital Markets: That's excellent, thank you very much.
Jose Mas: Thank you Alex.
Operator: Your next question comes from Adam Thalhimer with BB&T Capital Markets.
Adam Thalhimer – BB&T Capital Markets: Thanks, good morning guys.
Jose Mas: Good morning Adam.
Adam Thalhimer – BB&T Capital Markets: Jose, did I hear you say you booked 600 MW of wind, new wind awards in the quarter?
Jose Mas: Correct.
Adam Thalhimer – BB&T Capital Markets: What is that versus Q2?
Jose Mas: You know through the first half of the year we probably booked less than half of that. A lot less than half of that.
Adam Thalhimer – BB&T Capital Markets: Can you comment on activity in the last since the end of the quarter?
Jose Mas: You know the 640 would include anything that has actually been awarded since the end of the quarter. I think you know what we have said is we're looking at a similar number in size and scale on projects that were either in late stages of bidding or in the process of negotiating. So again we're pretty excited that 2010, we expect to be a very active year.
Adam Thalhimer – BB&T Capital Markets: Okay. And can you elaborate a little bit on the fiber departments. I know that is being a little bit disappointing in 2009. What would you expect that to do in 2010?
Jose Mas: You know it is a good question and we don't have great visibility. I think there is no question obviously that business has been down in 2009 and probably down more than we expected. We always knew maintenance would suffer, we though fiber would hold a little bit better than it has. Again I actually think that the normalized fiber deployment projects that the big carriers are doing are going to kind of stay at the levels we are at. So I don't expect much recovery in 2010 based on those. But the two things that could potentially drive that business are obviously the broadband stimulus initiative which is going to have considerable construction activities associated with it. Just yesterday or the day before, you know they actually announced an extension to the awards. They were supposed to announce the awards in November, they have asked for another month, so we're hoping that those awards come out in early December but we definitely expect them by the end of the year. You know that in and of itself depending on who wins and what kind of awards get executed, will have a very positive impact on the industry as a whole and I think we will get our share there. And then obviously fiber to cell sites is something that you know we saw some activity in 2009. We think that activity is going to significantly ramp in 2010 not just by the major carriers but everybody that's got fiber deployed in the ground is trying to sell through the carriers. So that is a very positive in this environment and we think that will be a further driver of business in 2010.
Adam Thalhimer – BB&T Capital Markets: Great. And then lastly Jose you mentioned you're building your electric transmission and natural gas businesses, can you just elaborate on what you're doing on that front and what the outlook is there?
Jose Mas: Sure. On the natural gas side you know we have made an acquisition in mid 2008, got off to a good start in 2009 with the backlog that we had. In August, the natural gas prices were depressed and we struggled through the second and third quarter. We have seen a pickup in activity, we have seen a ramp of bids, pretty optimistic about what we're seeing now going into 2010. We think that business is actually turning and natural gas prices have come up with a little. But you know two things, I think the future is of natural gas, people still expect that to be relatively healthier than it is today. And based on today's prices, we are foreseeing that kind of increased activity, we are hopeful that as prices continue to increase, we will see more faculty. So we're probably a little bit more bullish on that business today than we were on the last call, and as it relates to our electric transmission business, you know we worked hard over the course of the last couple of years to organically grow that business. I think we have done an excellent job. I think we have added some excellent talent in that business and really have positioned ourselves differently. I think our customers today view us differently than they would have a year or two ago. I think that is positive. I think it is giving us access to more bids and larger bids and we're pretty excited about that.
Adam Thalhimer – BB&T Capital Markets: Great, thanks very much.
Jose Mas: Thank you Adam.
Operator: Your next question comes from Mark Aydin [ph] with KeyBanc Capital Markets.
Mark Aydin – KeyBanc Capital Markets: Good morning gentlemen. Congratulations on the quarter. I just have a few questions on behalf of the team here. First, could you talk about whether you reduced your outlook for amortization expenses from acquisitions from the $9 million level in 2Q09?
Bob Campbell: The amortization, a good estimate is about 10 million for this year.
Mark Aydin – KeyBanc Capital Markets: Okay. Do you expect it to be ramping up in 4009? Because we're just looking at our models seems that it was running a little lower had been expected?
Jose Mas: So Mark I think that without rounding the right numbers probably closer to nine. We are at about 6.5 for the year so far. You can expect another 2.5 or so in the fourth quarter. I think those numbers are relatively close, not exactly close.
Mark Aydin – KeyBanc Capital Markets: Okay. And my next question, just if you could provide any color on any in roads that you are making on the wireless side with Verizon, with the help of the Nsoro acquisition?
Jose Mas: Sure. So obviously we had an excellent quarter in our wireless business. Revenues were up well above 30%, predominantly today we are working for AT&T and many of you might know AT&T has a significant ramp on the second half of the year CapEx plan. They have announced their third quarter CapEx which was a big ramp over Q2, I think similar to the numbers that we saw. There is a further ramp for Q2 and we are now – we now believe that our Q4 business will be 20% or more up which is roughly the same estimates that AT&T is giving to get to the bottom end of their CapEx guidance. If they end up hitting their higher-end that could potentially be more positive for us but we are assuming they are going to hit the lower end of guidance. So we're working hard on Verizon but to be hundred percent honest, we are obviously working very hard to meet the demands of AT&T and that is consuming a lot of our time and energy in that business. We have made some inroads with other customers in that business. We have started some new projects still not meaningful as it relates to the size of what we are doing for AT&T but again we feel comfortable that going into 2010, we will begin to see some customer diversification in that business.
Mark Aydin – KeyBanc Capital Markets: Okay. And just one more question on Verizon, just have you set any type of milestones for penetration with them going into 2010, just given that Verizon is expecting to be pretty much materially done with the FiOS buildup by the end of 2010?
Jose Mas: You know obviously we are focused on wireless as the area of growth not just for Verizon and AT&T but for the telco market in general. So you know I think if you look back at what we have accomplished over the course of the last 18 months by getting into wireless, we identified that the wireline spend over time was going to be affected and as we look at our customers businesses obviously, they're more focused on wireless then they are on wireline. With that said, wireline is never going to go away and we think that from a maintenance perspective, the current activity levels that we are seeing are probably under funded and will require more investment in the future. So we're bullish that that business over time will pick up. We continue to be active in trying to pick up more territory and expand our geographic region of that business. So we are still actively out there trying to grow our wireline business. As it relates to the fiber portion of those businesses, we are seeing some other customers step up and be a little bit more aggressive. I think Qwest has made some favorable comments over the course of the last couple of months as to their plans. I think with some of the mergers and acquisitions in those markets you will see some of the smaller players deploy more fiber. So I think fiber in general will stay relatively flat even as Verizon continues to dwindle a little bit, but as it specifically relates to Verizon we are obviously focused on growing our business both from a maintenance perspective and more importantly from the wireless side. They currently contract to wireless business differently than AT&T does. It is much more a local competitive process. We are now engaged, we are making small steps, and again we think we are an excellent solution for them. And over time, we think we will get our share of penetration.
Mark Aydin – KeyBanc Capital Markets: Okay. And just the last question, could you talk about the pricing in the wind business today versus the start of the year?
Jose Mas: We got a similar question last quarter and I will give you a similar answer because it really hasn't changed. I think we have been extremely disciplined in how we have looked at our projects from a labor perspective. So I don't think you're going to see much difference from how we bid these projects over the course of the last year. Obviously there are cost savings to be found, commodity prices are down, and we are able to pass some of those along to our customers. So from a pure megawatt perspective, pricing is down, but from our labor and margin perspective, we are doing the best we can to keep that level, and I think we have done a good job at that.
Mark Aydin – KeyBanc Capital Markets: Okay, thank you very much.
Jose Mas: Thank you Mark.
Operator: The next question comes from Mickey Schleien with Ladenburg Thalmann & Co. Inc.
Mickey Schleien – Ladenburg Thalmann & Co. Inc.: Good morning. My question is the following. AT&T appears to be focusing more and more on its U-verse product which as you know competes directly with cable and satellite TV. In the past you have noted that a significant part of your DirecTV business' growth resulted from the alliance with AT&T. So what are your expectations over the medium to long-term for your DirecTV business given AT&T's competitive product. And how is that balanced if at all by any work that you may be conducting for AT&T on U-verse itself?
Jose Mas: So from AT&T we are actually obviously a wireline provider to them. We have been for a long time. We will continue to be. So we are deploying U-verse product today in some of our geographies. As it relates to DirecTV, they signed the deal with AT&T in February. When they signed the deal, they had U-verse, or actually started selling in February. And they have had U-verse and they have been selling all along even though they have been able to offer U-verse product. So DirecTV is a secondary offer from AT&T to U-verse, so if it's a U-verse available household, they sell U-verse first and then they follow it up with DirecTV if U-verse is not taken. That hasn't changed. I think that the DirecTV and AT&T relationship as has gone extremely well for both companies. I believe it continues to go well. So even though there is a competitive product out there I don't think that we are going to see a big impact to the DirecTV business. If you think about the last couple of years as FiOS has been out in the DirecTV markets, many in which we serve. Verizon also sells DirecTV and FiOS you could argue is a little more penetrated than U-verse and we really haven't seen an impact on DirecTV's business in the Verizon markets. So we are not very concerned. We think DirecTV's product is at the top end of the industry and I think that those that should be more concerned are obviously the companies that provide weaker radio products.
Mickey Schleien – Ladenburg Thalmann & Co. Inc.: Thank you.
Operator: Your next question comes from the line of John Rogers with D.A. Davidson.
John Rogers – D.A. Davidson: Hi, good morning.
Jose Mas: Good morning John.
John Rogers – D.A. Davidson: Jose, I appreciate very much the run down by segment and I was just wondering can you just give us a rough idea either by backlog or revenue how it breaks down now?
Jose Mas: Yes, I can give you some rough numbers. If you think about the business, DirecTV is roughly 30% of our business in the quarter and obviously as we ramp that number will come down a little bit. Wireless was about 15% of our business. Wireline was roughly 19%, 20% of our business. Wind was 19%, 20% of our business. Natural gas was about 4% of our business. T&D [ph] was about 10% of our business and our government or water and sewer division was a couple of points.
John Rogers – D.A. Davidson: Okay. And the industrial renewables biomass market, where you even including that?
Jose Mas: We are including that. It is probably in our – it is in our utility numbers, so you probably take a point or two of the overall company and we would have to move that around a little bit but it is roughly a point of two.
John Rogers – D.A. Davidson: Okay. And then looking at the wind business for a second, I know you have answered a lot of questions about this, but my understanding, maybe this is wrong, a lot of the activity there tends to be back end weighted seasonally in terms of construction, I am just thinking about 2010. Is that the sort of pattern that we should be thinking about, that more into the third and fourth quarters? Or I mean given the growth in backlog, is it going to ramp up more quickly than…
Jose Mas: Well I think that as we compare 2010 to 2009, the first half of 2010 will be stronger than the first half of 2009, because we obviously have a lot more backlog. There is no question that Q3 and Q4 should be and probably will be more active just based on the nature of the business and what has historically happened. So you know we expect Q1 and Q2 to be better than they were last year, year-over-year, based on the backlog that we're working through. The great majority of the numbers that we quoted today, we expect to be finished with the majority of that business through the first half of the year, although some will probably spill into Q3. But obviously as we continue to add projects, that will be more back ended projects into Q3 and Q4, so you are right. Q3 and Q4 should be the best quarters in that business. Q2 should be a very good quarter in that business, and Q1 is actually very weather related right depending on how whether treats us will depend on how much productivity we can get completed in a particular area because many of these projects are in the North and Midwest.
John Rogers – D.A. Davidson: Okay, right. And then just lastly, the impact of gas, I guess lower gas prices in the third quarter and potentially higher gas prices in the fourth quarter and going forward, rough impact?
Jose Mas: Fuel prices?
John Rogers – D.A. Davidson: Yes. Sorry.
Jose Mas: So fuel prices were actually up sequentially. Our average gallon of fuel was up about 15% from second to third quarter. Fuel was up slightly, sequentially, and it was down obviously significantly year-over-year based on where the prices were. I don't actually have a percentage to give you John but we can get back to you on that.
John Rogers – D.A. Davidson: Okay. But as I recall, it is pretty minimal, single digits sort of impact?
Jose Mas: Sequentially it was up year-over-year. It was down. You know obviously last year fuel prices were pretty inflated for Q3. So it definitely had an impact but I don't have that number handy.
John Rogers – D.A. Davidson: Okay, all right. Thanks a lot.
Jose Mas: Thanks John.
Operator: Your next question comes from Simon Leopold with Morgan, Keegan.
Simon Leopold – Morgan, Keegan: Great thank you. Just a couple of hopefully easy ones, one is could you breakout what your organic growth was year-over-year given the significant number of acquisitions you have made?
Jose Mas: Yes, good morning Simon. I think that you know if you look at, if you look at the Q that we filed, obviously in the description of revenues, we have kind of been breaking out the revenues associated with acquisitions in that period year-over-year. So if you back that out, organic growth was somewhere in the range of negative 15% or so, driven by predominantly our wireline and utility distribution business. If you think year-over-year, we were also positively impacted in 2008 by about $10 million in storm revenue. We didn't have any in 2009. So that had a little bit of an impact. We are not a big – we don't generate big amounts of revenues with storm but we do see some incremental impact. We didn't see it this year. So I think that is the rough number.
Simon Leopold – Morgan, Keegan: Okay. And then when we look at the Q4 guidance, I'm just wondering if you could give us a few more thoughts on what kind of mix you expect? I know you mentioned the favorable trends in wireless construction, so I am assuming your communications are up sequentially, could you go into a little bit more detail on the mix?
Jose Mas: Yes. I think if you think about the increase it is going to come from the incremental lift in wireless and the balance will all come from our utility section.
Simon Leopold – Morgan, Keegan: Okay. And just the last one, on the broadband stimulus opportunities, around the construction, understanding most of your telco exposures, AT&T and Verizon, neither which are applying for broadband stimulus money, could you talk about what kind of relationships or channel you have with the kinds of service providers that would be going after that money?
Jose Mas: Yes. I think if you – obviously from a wireless perspective, the bulk of our work is obviously with the big carriers. If you think about of wireless business at 20% of our revenues and you back out from a wireless perspective what we're doing for AT&T, that is actually not the case. We're working for a number of different smaller telco, rural telcos across the country. They have always been a significant piece of our work in that business. They continue to be. So we have dozens of customers that have applied for federal stimulus dollars, some smaller, some very, very large projects. And if you look at a lot of the applications are actually by newcos [ph] as well as companies that have been found to specifically try to serve in an underserved area. So we are very focused on all of the grant applicants. We actually have a tracking sheet that we follow with all the applicants and we have been reaching out to everybody that applied. So again we feel relatively good that when those awards started getting announced, that we are going to be a player, and we're going to get our share.
Simon Leopold – Morgan, Keegan: Great. Thank you very much.
Jose Mas: Thank you Simon.
Operator: Your next question comes from Liam Burke with Janney Montgomery Scott.
J.T. Rogers – Janney Montgomery Scott: Good morning. This is J.T. Rogers sitting in for Liam Burke.
Jose Mas: Good morning.
J.T. Rogers – Janney Montgomery Scott: Just had a quick question, you mentioned that the wind farm and biomass business are more capital intensive than your historic core businesses, but they're pretty small, but it sounds like they are going to have a significant impact next year, just wondering how much more capital intensive are those businesses and how does that affect the return profile for those projects?
Jose Mas: You know Bob mentioned the natural gas and the wind, not necessarily the biomass. The biomass wouldn't be very much capital intensive. But from the wind side, if you look at the dollars spent this year, a significant amount of the CapEx that we did do in 2009 was related to beefing up of our transmission and our wind business. We bought a number of cranes this year in a tough environment where we thought we got some real favorable pricing to prepare us for the future. So I think that incremental capital expenses will have some, I actually think they'll be some more moderate. So again going into this year we thought we would be in the low 40s. We put a conservative number out of there because we were new to some of these businesses. We will end up I think we will end up somewhere in the low 20s with that. And I think that I would be surprised if we did more than the low 40s in 2010.
J.T. Rogers – Janney Montgomery Scott: Okay, thanks a lot.
Operator: As there are no other questions in queue, I will turn it back over to Mr. Mas for closing comments.
Jose Mas: Sure. Again thank you for participating. We want to thank all of you that have supported us during the year. We look forward to our fourth quarter call. Thank you.
Operator: This concludes today's presentation. Thank you for your participation.